Operator: Good morning, and welcome to the Icahn Enterprises L.P. Q2 2021 earnings call with Jesse Lynn, General Counsel; Aris Kekedjian, President and CEO; and David Willetts, Chief Financial Officer. I would now like to hand the call over to Jesse Lynn, who will read the opening statement.
Jesse Lynn: Thank you, Operator. The Private Securities Litigation Reform Act of 1995 provides a Safe Harbor for forward-looking statements we make in this presentation, including statements regarding our future performance and plans for our businesses and potential acquisitions. Forward-looking statements may be identified by words such as expects, anticipates, intends, plans, believes, seeks, estimates, will, or words of similar meaning and include, but are not limited to statements about the expected future business and financial performance of Icahn Enterprises L.P. and its subsidiaries. Actual events, results, and outcomes may differ materially from our expectations due to a variety of known and unknown risks, uncertainties, and other factors that are discussed in our filings with the Securities and Exchange Commission, including economic, competitive, legal, and other factors including the severity, magnitude, and duration of the COVID-19 pandemic. Accordingly, there is no assurance that our expectations will be realized. We assume no obligation to update or revise any forward-looking statements should circumstances change except as otherwise required by law. This presentation also includes certain non-GAAP financial measures. A reconciliation of such non-GAAP financial measures to the most directly comparable GAAP financial measures can be found in the back of this presentation. I’ll now turn it over to Aris Kekedjian, our Chief Executive Officer.
Aris Kekedjian: Thanks, Jesse. Good morning and welcome to the second quarter 2021 Icahn Enterprises earnings conference call. Joining me on Today’s call is David Willetts, our Chief Financial Officer. I will begin by providing some brief highlights. David will then provide an in depth review of our financial results and the performance of our business segments. We will then be available to address your questions. For Q2 2021, we had net loss attributable to Icahn Enterprises of $136 million or $0.53 per LP unit, compared to net income of $299 million or $1.36 per LP unit in the prior year period. The quarterly net loss is primarily driven by interest expense on our senior unsecured notes and income tax is offset in part by gains in our investment segment. Adjusted EBITDA attributable to Icahn Enterprises for Q2 2021 was $192 million compared to $696 for Q2 of 2020. Our investment funds had a positive return of 1.4% for Q2 of 2021, compared to 11.7% for Q2 of 2020. The positive performance was driven by net gains in certain long equity positions, primarily in the energy industry, offset in part by net losses in our short index and short single-name equity positions. Adjusted EBITDA attributable to Icahn Enterprises at our Energy segment decreased by $10 million to $49 million for Q2 of 2021 compared to $59 million in the prior-year period. Our petroleum business was positively impacted by higher throughput volumes an increased product cracks offset by exorbitant rents pricing. Our fertilizer business continues to benefit from strong pricing for both ammonia and UAN. Net sales and service revenues for our Automotive segment were $637 million for Q2 of 2021. We continue to see our automotive service business revenues returned to pre-pandemic levels. As a reminder, Icahn Automotive Group continues to push forward with the multiyear transformational plan to restructure operations and improve profitability, which is illustrated by the reduction in losses in Q2 versus the prior-year quarter. We have substantially completed the legal separation of our automotive service business from our aftermarket parts business, which will position service business for new growth and value-enhancing opportunities. In April of 2021, Icahn Enterprises issued $455 million of 5.25% senior unsecured notes due in 2027.  The proceeds were used to repay the remaining $455 million principal amount of 6.25% senior unsecured notes due in 2022. For the six months ended June 30, 2021, indicative net asset value increased by $956 million to $4.5 billion, compared to $3.55 billion as of December 31, 2020. We close the quarter with cash and investments in the funds of over $6.9 billion. Finally, the board declared a $2 quarterly distribution payable in either cash or additional units. With that, let me turn it over to David.
David Willetts: Thank you, Aris. I’ll begin by briefly reviewing our consolidated results and then highlight the performance of our operating segments in common on the strength of our balance sheet. For Q2 2021 for the three months ended June 30, we have a net loss attributable to Icahn Enterprises of $136 million compared to net income of $299 in the comparable prior year period. For Q2 21 adjusted EBITDA attributable to Icahn Enterprises was $192 million compared to $696 million in the prior year period. I’ll now provide more detail regarding the performance of our individual segments on the next pages. In our Investment segment, we had net income attributable to Icahn Enterprises of $68 million for Q2 2021. The investment funds had a positive return of 1.4% for Q2 2021, compared to a positive return of 11.7% in the comparable prior year period. Long positions had a positive performance attribution of 6.6% in Q2 2021, while short positions and other had a negative performance attribution of 5.2%. Since inception in November 2004, through the end of Q2 2021, the investment funds gross return is approximately 91.3% or 3.9% annualized. The investment funds had a net long notional exposure of 5% at the end of Q2 2021 compared to a net short exposure of 19% at the end of Q1 2021. Our investment in the funds was approximately $4.7 billion as of June 30, 2021. And now on to our Energy segment. In Q2 2021, our Energy segment reported net sales in $1.8 billion, compared to $675 million in the prior year period. Consolidated adjusted EBITDA was $102 million for Q2 2021 compared to a $109 million in Q2 2020. The total throughput was approximately 217,000 barrels in Q2 2021 compared to 156,000 barrels in Q2 2020. The Q2 2021 refining margin per throughput barrel was $6.72 compared to $10.43 in the prior year, while increased crack spreads and volumes contributed to the improvement in refining margins, higher RINs expenses offset much of the benefit. CVR’s previously announced renewable diesel project is under review pending improved feedstock market pricing, while process design engineering for a pretreatment unit continues. CVR partners reported Q2 2021 adjusted EBITDA of $51 million compared to $39 million for Q2 2020. Corn planting and prices are attractive and are driving increases in fertilizer prices and demand. Now, turning to our Automotive segment; Q2 2021 net sales and service revenues for Icahn Automotive Group were $637 million, an increase of $50 million from the prior year period. Q2 2021 adjusted EBITDA, which excludes the losses associated with closed and closing part stores, was $25 million compared to a loss of $6 million in the prior year period. Icahn Automotive continues to push forward with a multiyear transformational plan to restructure the operations and improve profitability. Service revenues increased due to the reduced impact of COVID-19 pandemic and this was offset in part by store closures related to the transformation plan, which declined for Q2 2021 when compared to the prior year period. Now, turning to our Food Packaging segment; Q2 2021 net sales increased by $2 million or 2%. And adjusted EBITDA attributable of Icahn Enterprises was $14 million for Q2 2021 compared to $13 million for Q2 2020. Net sales increase due to price and product mix and the favorable effects of foreign exchange. And now on to our Metal segment. Q2 2021 net sales increased by $119 million and adjusted EBITDA increased by $15 million compared to the prior year period. Volumes and prices continue to be strong driven by high demand from steel mills. And now on to our Real Estate segment. Q2 2021 net operating revenues increased by $2 million compared to prior year. Adjusted EBITDA for the quarter was a loss of $2 million compared to earnings of $10 million in the prior year period. Revenue from our real estate operations for both Q2 2021 and Q2 2020 were substantially derived from sales of residential units and rental operations. Now, turning to our Home Fashion segment; Q2 2021 net sales increased by $14 million compared to the comparable prior year period. Sales to hospitality customers recovered due to the reduced impact of COVID-19 pandemic. WestPoint’s adjusted EBITDA was $1 million for both Q2 2021 and Q2 2020. Now, turning to our Pharma segment; we started to consolidate the results of VIVUS beginning December, 2020 within our new Pharma segment. Q2 2021 net operating revenues were $19 million and adjusted EBITDA was $5 million. Now, I will discuss our liquidity position. We maintain ample liquidity at the holding company and that each of our operating subsidiaries to take advantage of attractive opportunities. We ended Q2 2021 cash, cash equivalents, and our investment in investment funds and revolver availability totaling approximately $7.5 billion. Our subsidiaries have approximately $645 million of cash and $579 million of undrawn credit facilities to enable them to take advantage of attractive opportunities. In summary, we continue to focus on building asset value and maintaining ample liquidity to enable us to capitalize on opportunities within and outside of our existing operating segments. Thank you. Operator, can you please open the call for any questions.
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Dan Fannon with Jefferies. Your line is open.
Dan Fannon: Thank you. Good morning. My first question is just on the fund and the positioning and how you guys were thinking about the current investment backdrop, I believe your investment in the fund is $4.7 billion, as you stated, but I think if I heard correctly, $6.9 billion is the total in terms of available or cash, I just want to make sure the liquidity or where – kind of how the – it seems like there’s more, I guess less investments in the fund more conservatism based on I think some of the numbers I heard.
David Willetts: Thanks for the question, Dan. The actual $6.9 billion number includes cash at the holding company level. So the amount of investment in the funds has not changed its $4.7 as we – as you highlighted. Yes about positioning of the fund in this current backdrop, we obviously are taking a look at the kind of valuations that that we’re parsing through. Clearly we are trying to pick our spots, the funds position at a net short – sorry, net long of 5%. That’s consisting of 24% net long in the equity book, and about an 18% net short in the credit book. Hopefully that answers your question.
Dan Fannon: That is helpful. And on the just the returns for the second quarter, the short positions driving the, I think 5.2% of the traction and performance, but do you also mentioned other, I guess, as we think about just the positioning is there illiquids or other things that are outside of just normal securities, because I don’t think I recall you using the term other outside of just the short positioning, if there was something else that we should think about when that you guys are doing in the portfolio.
David Willetts: The others actually quite de minimis is just expenses, I wouldn’t get much attribution to that.
Dan Fannon: Got it? Got it. Okay. And then just lastly is you think across your businesses and the environment or you highlighted certain like the auto where you’re seeing, things improved. Is there portions of your business, or as you look across that are still lagging pre-pandemic, that you are still waiting for kind of the more return to normalcy or are taking longer than others, if you could just kind of dissect a bit the various segments that are maybe in a kind of returning faster versus others that might still be lagging behind?
David Willetts: Yes, well, look, I think for the most part, we’re seeing pretty good rebound in our portfolio companies in terms of pre-pandemic level performance. In fact, in the auto services business, we’re seeing the business perform at a pre pandemic level. But one of the things we do see across the portfolio still is supply chain lags. That combined with some degree of inflation pressure that we see across the portfolio still is supply chain lags. That combined with some degree of inflation pressure that we see across the portfolio, I think those are all pandemics still pandemic related. In fact, in some of on more international related businesses, we’re seeing some issues around shipping, containers, getting access to them and things like that. So the supply chain is still clogged up quite a bit. And that’s a common thing that we’re seeing. So hopefully, when that clears up was even better performance. But for the most part, I think what we’re seeing in our portfolio is a pretty good rebound to pre-pandemic levels.
Dan Fannon: Great. Thanks for answering my questions.
Operator: Thank you. Our next question comes from the line of Bruce Monrad with Northeast Investors. Your line is open.
Bruce Monrad: Hi, and thanks for hosting the call. I’d love to pick up on that actually with regarding – the cost question with regard to this case and you mentioned price mix FX all favorable. And that’s great. So there must have been a cost issue because you’re the overall 100% EBITDA was a little bit lower. So, it seems like it’s a little bit of a rerun of 2018. And I guess my question is on pricing, are your customers benefiting from price protection? Or what’s the outlook for catching up on the cost side? If I’m diagnosing it, right, please?
Aris Kekedjian: I think you have two things going on in this case. One is, this case actually performed even better during the pandemic. For whatever reason, the shutdown in place environment created significantly better demand. So performance last year was quite good compared to most of the portfolio. But the other thing that you’re seeing in this case is definitely some price pressure in terms of raw material costs and supply chain costs, businesses in the process of applying price increases and surcharges to offset that, those are all in place and underway as we speak.
Bruce Monrad: Can I just – but sometimes the, I think in the past, it has been an annual issue with customers, are you saying? Please, is that current is that – we say in places that for now and 3Q, 4Q type things? Or is that wait until the New Year? Thank you.
David Willetts: This is David. I think the short version is, we’re just seeing a typical lag between supplier price increases and our ability to share those price increases with our customer. Customers have generally been pretty open and aware that there are significant price increases out there in the market. So, we were taking a look on a quarter-by-quarter basis at raising prices, where it makes sense respecting our customers, but there will be a time lag as our prices catch up to what the market inflation has been on our cost base.
Bruce Monrad: Okay, thank you.
David Willetts: You’re welcome.
Operator: Thank you. Our next question comes from the line of Chris [indiscernible]with Retail Investor. Your line is open.
Unidentified Analyst: Yes. Hi, thanks. Good morning. And thanks for the call guys. So really, two questions in and around the dividend. So, can you just tell us how the dividend is funded through time? And then how do you want us to think about dividend sustainability is it economic sensitivities, investment return sensitivity? Just give us a sense of kind of how you want us to think about that?
Aris Kekedjian: Well. We’ve got plenty of cash on the books, as you can imagine. So, we’re funding the dividend is not necessarily an issue for us whatsoever. We do like our current capital allocation policy. As we just approved the $2 dividend for the quarter, which has been consistent with relatively past practices. And I think we intend on continuing that, at least at this point in time unless things change.
Unidentified Analyst: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Roberts [indiscernible] with Truist Investments. Your line is open.
Unidentified Analyst: Yes. Concerning that dividend, Carl Icahn owns most of the stock in the company, and you’ve given the option of taking stock instead of cash. So, I don’t think you would be paying out as much as $2 of every share that you have out, is Carl Icahn in the past and as far as, for the taking stock instead of cash on the dividend.
David Willetts: Well, Carl Icahn has been consistently taking stock as in lieu of cash with the exception of a particular quarter in last year. So we – at this point in time, and as indicated, to date that’s been his practice. And we intend to believe that will be the practice going forward and unless things change.
Unidentified Analyst: Got it. So his ownership of the company is being increased greatly. Every time there’s one of these dividends paid out and the company is not paying out this tremendous dividend in cash. Is that a fair statement?
David Willetts: I think you’re saying your question is whether or not he’s taking dividends increases his ownership in the company. I think that’s an accurate statement.
Unidentified Analyst: All right. And further he made a statement on May 27. He’s been pretty bearish on the dollar. And he made a statement about crypto currency and I was taken aback by that because – at that time, the crypto currency was about $53,000 for the Bitcoin, and he said some bad things about the American dollar. And I hope he didn’t buy any of it, he seems to put over a $1billion. Do you have any information about whether he’s invested in these crypto currencies since May 27 was before that?
David Willetts: I think, what Carl indicated on that call was that, he is a much like we look at all kinds of different investment opportunities. Crypto currency is a topical subject, and one that we’re evaluating among others. At this point in time, I don’t have any other comments. Other than that, we don’t actually comment on any particular investment theses.
Unidentified Analyst: He has been pretty negative on the market last year and beginning of this year, and he’s got a lot of good investments that he does buy in companies. Is he still basically – he basically runs the company anyway. Is he still basically negative? What percentage do you guys short in the market?
David Willetts: I think what we indicated is we’re net long 5%, which is consistent of a 24% net long position on equities and a 18% net short position on our credit book. So, I think you could maybe overall call our position relatively neutral at this point in time.
Unidentified Analyst: Okay. I mean, the market is running like tremendously in a bull market. And he’s always been a great investor. And he’s always found great investments. But he’s moved to and it’s a big turnover in the company. Now, you have new people running the company and some people are starting to say that Carl Icahn is getting on, and look at that dividend. I mean, what do you have to say about that dividend? When a stock is trading at $58 and paying an $8 dividend? There are too many companies doing something like that.
David Willetts: But we definitely have a high dividend yield. And that was – that’s one of the factors that makes the stock attractive. So, I think you’re highlighting that fact.
Unidentified Analyst: Okay. What does that book value right now? That’s the last question I’ll ask. Thank you for taking my questions. I appreciate it. But what is the book value of our company? Now, it’s so hard to figure out. I mean, Carl Icahn is a fighter for stockholders. And we have stocked in several 100 companies. And we have a lot of trouble try to figure out, what’s going on in this company. So, what is the book value of the company?
David Willetts: The book value, you’ll see this today in the 10-Q is $3.7 billion.
Unidentified Analyst: Divided by the shares, how much does that come with, two per share?
David Willetts: Then I think you can do the math.
Unidentified Analyst: Okay. All right. I appreciate it. Thank you very much.
Operator: Thank you. [Operator Instructions] Our next question comes from the line of Andrew Berg with Post Advisory Group. Your line is open.
Andrew Berg: Thank you. Hey, guys, just a couple of housekeeping questions with respect to automotive, the EBITDA that you guys report. Nice increase from a $6 million loss to a $25 million gain. But I think you said that excluded close store loss; can you quantify what the close store loss was? And was that all non-cash loss? Or was any of that cash to close?
David Willetts: So the in terms of two questions, one is, what do we think the actual loss for the closed store is? And then how much of that was cash? I think when you take a look at our adjustments; this is a heavy transformation program. But effectively the total cost of close the stores pay the severance and continue the transformation is approximately $67 million this year. We view those as onetime costs that obviously don’t repeat once we finished the transformation. In terms of the cash, the cash is a little misleading simply because you have just record the expenses well in advance when you actually pay the cash down and write inventory down. So, we’d expect the cash to continue over the course of the next two to three quarters, but to approximate the $67 million as we wrap things up. Does that help?
Andrew Berg: Yes, the $67 million was year-to-date. Do you happen to have the comparable numbers 2Q 2021 versus 2Q 2020? I believe you said that the amounts are coming down.
David Willetts: Yes, so the comparable numbers for 2020 were approximately $44 million.
Andrew Berg: That’s year-to-date or quarter?
David Willetts: It will be six months ended 2020.
Andrew Berg: Do you haven’t have the 2Q numbers or follow up on that offline?
David Willetts: One second, 2020 2Q was $24 [ph] million.
Andrew Berg: And the same figure for this year 2Q?
David Willetts: It would be $43 million.
Andrew Berg: Okay.
David Willetts: These figures are in the adjusted EBITDA, they’re in the adjusted EBITDA reconciliation in our package. If you need any more go ahead.
Andrew Berg: I’ll go back and look at it from [indiscernible] and apologize on that. And then the loss in real estate for EBITDA, given the relatively flat revenue numbers, what’s driving that?
Aris Kekedjian: I think what you have in the real estate portfolio in particular is we have a triple net lease property in Atlanta. That was a single tenant lease fully leased up until last year; we’re in the process of turning that into a multi tenant property this year. There were some delays as a result of COVID. But we’re back on track in terms of getting core tenants in place. So there’s some timing lag associated with that process. But we’re in the process of repositioning that portfolio is building.
Andrew Berg: Okay, great. And then lastly, with respect to investments, there’s a question earlier on crypto. To the extent Carl does start getting involved in one way or the other. When you guys report, will that end up being factored into the net equity or the net credit portion of how you’re going to be reporting things if you were to be start getting along that? Or would it end up being a separate line altogether?
Aris Kekedjian: I think if we actually get into crypto to your point and have it in as a significant investment, we’ll actually consider identifying that as other I imagine at this point in time.
Andrew Berg: Okay, fantastic. Thank you, guys.
Operator: Thank you. I’m showing no further questions in the queue. I would now like to turn the call back over to management for closing remarks.
Aris Kekedjian: Thank you, operator and thanks, everyone for your questions. We are looking forward to following up with you and our third quarter update coming up. Up until that time, we wish you have a happy afternoon, morning and a good rest of the day. Thanks a lot.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.